Operator: Good day, ladies and gentlemen, and welcome to the RioCan Real Estate Investment Trust's Fourth Quarter and Year End 2020 Conference Call. At this time, all participants are in a listen-only mode. After managements presentation there will be a question-and-answer session and instructions will follow at that time. I would now like to hand the conference over to Jennifer Suess, Senior Vice President and General Counsel. You may begin.
Jennifer Suess:
Jonathan Gitlin: Thank you, Jennifer and thanks for joining us today. I'm pleased to be here and be surrounded virtually by our great senior management team at RioCan, and I'm happy to provide an update on our fourth quarter operational highlights as well as our 2020 results.
Qi Tang: Thank you, Jonathan and good morning everyone. As Jonathan noted, RioCan reported FFO per unit of $0.39 for the fourth quarter and $1.60 for the year in line with our guidance. Our $1.60 FFO per unit for the year was net of 42.5 million pandemic related provisions for rent abatements and bad debt, which represented 5.2% of our billed gross rents from Q2 to Q4. Our net contract receivable was about 44 million as of the year end, which is expected to be collected in due course. Despite the challenging environment under pandemic, including a much less active transaction market, we continue to service value of our portfolio and closed 193 million of dispositions during 2020. Of those 66 million were income producing assets with a weighted average capitalization rate of 6.31% based on in-place NOI and 127 million were development properties with no in-place NOI. In addition, as of February 10, 2021, we have closed or entered into firm or conditional agreements to expose 100% of partial interest in a number of properties, for total sales proceeds about 290 million. This included 151 million for the sale of 50% non-managing interest in eCentral and commercial component of ePlace at 3.5% and 4.5% capitalization rate respectively, based on stabilized NOI, which was closed in mid January 2021. Overall, since the beginning of 2020, we have closed or entered into firm and conditional deals, totaling 483 million. This included about 241 million of income producing properties with a weighted capitalization rate of about 5.5% based on in-place NOI. Our ongoing disposition program not only realizes the value inherent in our development pipeline, but also enables us to fund mixed-use development, mitigate risks, care costs, earn additional fee income and attract new partners or strengthen relationships with existing partners. Our reduced distribution payout will provide about 152 million of additional cash flow annually, which will also serve to fund development projects, as well as other value added initiatives such as debt repayment, and unit buybacks through our NCIB program. We remain committed to our development program and unlocking the significant value inherent in our portfolio. Residential development accounts for about 83% or about 35 million square feet of our 42 million square feet of development pipeline. Our residential projects will serve to address the growing demand for housing as Canada's population grows, particularly when the government resumes its immigration plans. As announced in October 2020, the Government of Canada plans to welcome at average 411,000 new immigrants per year over the next three years. The majority of the new Canadians will make their homes in one of Canada's six major cities where all of our mixed-use residential developments are located. In fact, typically, more than 30% new Canadians are over 100,000 a year called Toronto Home, where 74% of our projects are located, offering close proximity to major transit lines. Looking ahead to 2021, we estimate development expanding to be in the 500 million range net of projected cost recoveries and proceeds from air rights sales. This spending estimate includes about 400 million for properties under development, and approximately 100 million for the residential inventory project, which are condominium or townhouse project. In addition to meeting market demand for home ownership, condominium or townhouse projects, enable us to accelerate capital recycling to further fund our development program. 2021 development expenditures will allow us to develop - deliver a significant portion of our flagship development, the Well and complete other mixed-use developments such as Litho on Dupont Street and Strada on College Street, both in Toronto, as well as the second phase of our Gloucester project Latitude in Ottawa. With these completions in 2021, the staggered nature of our pipeline and cost sharing with the existing and future partners will allow us to lower our annual development spending in 2022 and beyond. In general, we expect to keep our total IFRS value of properties under development and residential inventory on consolidated balance sheet as a percentage of consolidated gross book value of assets at about 10% or lower, despite the 15% limit permitted under our various credit facilities. As of the year and this metrics was 10.3%. Now let me turn your attention to our balance sheets metrics. We closed the year with record liquidity at 1.6 billion in the form of cash and cash equivalents and undrawn committed revolving lines of credit and other credit facilities. This was partly as a result of the 500 million green bond we issued in December 2020. This green bond effectively refinanced our 550 million debenture maturities in 2021. Subsequent to the year end, we prepaid our 250 million December 2021 debenture maturity in full at a total redemption price of 256 million plus accrued interest. We will repay the 300 million debenture due in April 2021 in due course. Out of our total 380 million mortgage maturities in 2021, about 229 million have already been repaid, refinanced or have refinancing commitments in place as of February 10, 2021. Overall, we expect to continue to maintain our strong liquidity in 2021. Further, we continue to have a large unencumbered assets pool of 8.7 billion on proportionate share basis, which generated about 59% of our annualized NOI and provided 2.15 times coverage for our unsecured debt as of the year end. This unencumbered asset pool will offer additional flexibility as we manage our liquidity during the year while maintaining compliance with various debt covenants. Our debt to adjusted EBITDA metrics was 9.47 times and leverage was 45% as of the year end. The increase in the two metrics year-over-year, were driven by the impact of pandemic on property operations and valuations over the three quarters in 2020, and the timing of development spending and completions. We wrote down our investment properties by about 527 million, or 3.7% during the year. While we expect the two debt metrics to increase marginally in the near term, given the impact of the pandemic on a 12 month trailing basis, we maintain our long-term goal of keeping our leverage and debt to adjusted EBITDA within the target range of 42% or lower and around eight times respectively. Our cost of debt continued to decline with the weighted average effective interest of 3.2% on proportionate share basis, which compared to almost 3.5%, as of last year end. Our floating interest exposure decreased to 1.9% as of the year end from the 6.4% as of last year end, which was partly due to timing of the December 2020 green bond issue and no utilization on the floating revolver. We will remain committed to a consistent and disciplined approach to managing our balance sheet and capital structure to maintain strong liquidity, financial flexibility and to position us well to navigate through crisis and invest in accretive initiative to create value for the long-term. With that, I'd like to turn the call over to Ed for his closing remarks.
Edward Sonshine: Thank you, Qi. Thank you, Jonathan. Thank you, Jennifer. And they certainly are closing remarks for me. Because as most of you know, this will be my last conference call as CEO of RioCan. It is certainly an unusual one. I can't see the rest of the RioCan executive team or see when they roll their eyes during part of my remarks. So that's probably good. On April 1, I'll be passing the CEO baton to Jonathan Gitlin and move to a new role as Non-Executive Chairman. In that seat, as well as working with our board, of course, I will be available to Jonathan for any advice he wants, or just to bounce around some of the dynamic new ideas and strategies that I have no doubt, he will bring to the job. Astonishingly enough, this is my 108th quarterly report. Thank you to everyone, for putting up with me for 27 years. It's certainly a long time and lots of excitement, new initiatives, crises and setbacks over those many years. I won't reminisce today, or at least not much, you'll have to come to a post-COVID party for that. But it's remarkable. When I look back and recall that the first two or three years of investor meetings and calls and of course, then they were all in person, were mostly taken up with explaining what a REIT was and why it was a good investment, which it was. And today, it's even better, quite frankly, with the way the market has reacted. As a side benefit to everything I did for or we did, in creating this - helping to create this industry. We've actually created a lot of job for real estate analysts, so some of you here might keep that in mind when you write your reports. I generally don't have regrets, but simply move on to the next decision. I do regret however, that we found it appropriate to reduce our distribution as of January 1, 2021. It took a once in a century pandemic, arriving right in the middle of an expansive development program to lead us to this difficult decision. But it was the correct one, freeing up over $150 million in cash and equity, which, together with our other initiatives, will enable us to keep our balance sheet extremely strong, while continuing to build value and cash flow through our development efforts. The stability of our cash flow is indicated by the numbers for 2020, including the metric that became so important early last year, rent collection are clear. RioCan's portfolio was created over the last 27 years, curated particularly over the last decade, and its strength, resilience and future potential are hopefully becoming apparent to all. It's a portfolio that was partly acquired and partly developed and my opinion could not be duplicated today. Besides the stability it has demonstrated we are only at the beginning of surfacing the inherent value it contains, maybe in the second inning. We took a conservative approach to valuations in 2020, writing our portfolio down by 527 million or 3.7% as Qi mentioned, but whatever my personal opinion of our being the most conservative amongst our peers is it's certainly created more runway for surfacing and increasing value over the ensuing time. In addition to the portfolio itself, the quality and experience of RioCan's team also differentiates us and will enable us to achieve the value in cash flow growth that I'm confident are coming. No point in complaining about our unit price, but I will simply point out that not only is it well below our beaten-up NAV, huge discount, probably the biggest ever been, but that NAV reflects none of the great things that are being created, nor most of the development pipeline that we've already zoned, not just thought about or applied for. I mentioned earlier that I rarely have regrets. But while it is the right time for me to transition to Chair, I do regret that I will be in a watching role, as opposed to a doing one while Jonathan and his team create enormous value and new cash flows for our unit holders over the next few years. Mind you as a significant unit holder myself, and as Non-Executive Chair, I will certainly be cheering them on and watching with pleasure. That's it for my remarks, I'd like to turn it back to Melissa for any questions that anybody has.
Operator: Thank you.  Our first question comes from line of Mark Rothschild from Canaccord. Your line is open.
Mark Rothschild: Thanks and good morning and congratulate Ed and a big thank you as well. Jonathan, I heard your optimistic comments about the more troubled operators such as gyms and restaurants, can maybe get some additional color on  Will they be able to pay the prior level of rent as we exit this lockdowns and do you expect some of the spaces will ultimately need to be released?
Edward Sonshine: Go ahead Jonathan.
Jonathan Gitlin: Thanks Ed. Thanks Mark. Yeah, I think that those categories, movie theatres and restaurants are going to see some disruption, movie theatres I think that there will be let's say a reduction in the amount of space required. But I do think the movie exhibition business will continue to be part of the Canadian retail landscape. I think it'll be just smaller. I think both the number of theatres that are out there will be reduced a little bit, and perhaps the size of some of those theatres will be reduced a little bit. But I do think that where there are theatres that are high performing, they will continue to be high performing in the future. Thankfully, a lot of ours are. And I think that we will be able to maintain the rents, which we've already seen decline a little bit over time. So I think they're not at a high level to start with. But I do think some of those theatres will come back to us. And what I would say is from reviewing every one of them Mark, which we do constantly to ensure that we have contingency plans, depending on what happens to those theatres. The majority of them can be utilized for other things, be it a redevelopment entirely, or simply redefining the space as something else, be it retail or industrial. But by and large, we do think that the majority of our theatres will continue to be in existence, and we don't see significant rental pressure going forward on all of our locations, but some of them we certainly will. And then with respect to restaurants, I mean, look, I think this pandemic has had a serious short-term impact on restaurants. But I don't believe that restaurants, particularly some of the ones that we're dealing with it have a larger balance sheet and I would say a fairly sizable infrastructure, like RECIPE Foods, I really don't believe that their business model is going to be affected significantly in the long-term. I do think the next year is going to be extremely tough for them. And I think there will be some banners that will lighten, but I do think that the trend towards eating out at restaurants will reinvigorate itself on the other end of this pandemic. And therefore demand will increase again and there will be again, I think, the opportunity particularly in some of our very well-located properties to increase rent over time, but again the next year, that won't be the case because there's simply I mean, they are suffering quite tremendously.
Mark Rothschild: Okay, thanks. And maybe just one more question. Over the past number of years RioCan has been extremely active in divesting assets and obviously that's at a pause. We saw over the past number of months some other retail properties with interest rates where they are, there's understandable interest in well leased assets. Should we expect a pickup in asset sales this year and maybe related do we need things to stabilize more before investors can have more confidence in what the real cap rates are and how asset values shake out?
Edward Sonshine: I think you're going to - you will see an uptick in divestments this year and recycling of capital and we're starting to see the investment market slowly come back to life. It all depends on the type of asset Mark. And I think on base rate in your question I'd answer is stay tuned.
Mark Rothschild: Okay, thank you very much.
Operator: Your next question comes from the line of Howard Leung from Veritas. Your line is open.
Howard Leung: Thanks. Good morning. I want - any idea of the amount of tenants or percentage of tenants currently on the new rent program?
Edward Sonshine: That's been relatively opaque. But let me turn the detail - if we have a detailed answer on that to Jonathan.
Jonathan Gitlin: Thanks Ed. Yeah, opaque is the right word on this one, because the landlord involvement has been somewhat disintermediated. We don't have a clear site other than anecdotal as to who's using it. As I suggested in my notes, there was - we set up an ambassador program. So we are being utilized as a resource for a lot of these tenants to help them with the application process. But we have not yet got a clear sense as to exactly who or how many of our tenants are utilizing it. My sense is though that as tenants become a little more comfortable with it, and they recognize the benefit in it, there's going to be an uptick. And so - and because it is retroactive to October of 2020, we do believe that that is one of the elements that will actually improve, still our 2020 and early 2021 rent collection numbers. But I can't answer your question with any definition at this point. But as I said the number of tenants are increasing as months go on and as the process becomes a little less intimidating and a little easier for them to reconcile,
Edward Sonshine: We find that a lot of our tenants are a little more wary of dealing with the CRA than they were with the CMHC - with CMHC under the original rent program. CRA tends to scare a lot of people. So I think that's been one of the reasons for the slow take up.
Howard Leung: Right. No, I understand that. I want to also turn to the renewals if the amount of square feet renewed this quarter was pretty healthy. Spreads were a little light, I think, even compared to the past few quarters. Are you seeing kind of a maybe a tradeoff there at least in these past few months as the lockdown persist and maybe you have to bind the spread a bit in order to get more renewable?
Edward Sonshine: I think there's an element of truth in that. I think we always have two goals in mind when we approach a renewal, keep the tenant and increase the rent. And depending on what's going on in the world, those two assume relative importance. Right now, I think the importance is keeping the tenant and the tenant has a bit of a stronger hand, particularly when he's not being allowed to operate, which is the case in some of these things, or when you're renewing empty office space that's not being used. So to the extent we've heard, we've heard on the side of keeping the tenant, and I think you'll see those spreads, as this pandemic hopefully comes to an end sooner rather than later. I think you'll see those spreads increase back to more normal levels.
Jonathan Gitlin: And I can add one thing to that well thought out answer, which is that when we are doing lighter than average renewals, we will keep the term short because in recognition of the fact that this is not a terminal condition, right, I think that the conditions will improve. So we very methodically worked with the tenants to really do shorter term renewals and then we'll work with them and have better growth in our view once the conditions do improve.
Howard Leung: Okay, great. No, that makes sense. And then, I guess, maybe one final question on the credit ratings. So DBRS has put you on negative trend? And you - how are the discussions with them going and should there be a downgrade? Does that really impact your strategy going forward? Or you think that you can mitigate that?
Edward Sonshine: I think if - I'll let the Qi add to my comments if she wishes to. We're in constant contact with the two rating agencies, S&P and DBRS. We found S&P is taking a bit of a longer-term view of this pandemic. And so far, obviously has been no activity from them. Keep in mind DBRS had us rated one notch higher than S&P. We certainly don't want to be downgraded by anybody. But we're very, very committed to keeping our investment grade status. And at the end of the day, I think if the worst happens with DBRS, I'm not sure it would make that much difference right now. Qi, do you want to answer that - add to that?
Qi Tang: No, Ed. I think you answered it very well.
Edward Sonshine: Keep in mind just one thing. I mean, we've always run the ship, so to speak. And I don't want to make a light of our credit rating, because believe me without one eye on that credit rating and wanting to keep our development program going, we would not have even considered reducing the distribution, because certainly financially we can afford it. But this is like - but we didn't want to sell stock to raise equity. And quite frankly, reducing the distribution was the equivalent of doing $150 million odd equity deal, but quite frankly, giving away stock at these prices, in my opinion. So this was the lesser evil. And it was the credit ratings top of mind, but we've always run our balance sheet where unsecured debt is probably - well, I think it's about 40% right now, but it's certainly less than half of our total debt. And the secured debt market is alive and well and actually, in many cases, right now cheaper than the unsecured. So we always have options, lots of options when you're sitting with 8 billion plus of unencumbered assets.
Howard Leung: For sure and the spreads I think between triple behind where we'll be or not that far.
Edward Sonshine: Exactly.
Howard Leung: So that's good to know. So thanks again and congrats, again to Ed and Jonathan and I'll pass the line. Thank you.
Edward Sonshine: Thank you.
Jonathan Gitlin: Thanks so much.
Operator: Your next question comes from line of Sam Damiani from TD Securities. Your line is open.
Sam Damiani: Thanks and good morning. Just firstly on the office tenant departure was that - pretty sure that was a pretty COVID decision. Could you confirm that? And also clarify when the rent on that lease stopped or will stop?
Edward Sonshine: Yeah, I'm going to turn that over to Jonathan. And I'm pretty sure you're right. This particular - they were talking about consolidation like over a year ago, so it was a pre-COVID decision, I think. And I know your last name is Damiani.
Jonathan Gitlin: Hi, Sam. Yeah, Ed is right. This was something that has been in the works for a little while. We had preplanned and started looking for tenants quite some time ago. Obviously, the impact of the pandemic has made that search for new tenants a little more challenging. But given the nature of the space, we feel that over time, we will get it leased up or at least the majority of it, but we did lose it pursuant to plans that were in place a while ago and I believe the rent has already stopped.
Sam Damiani: Okay, thank you. And next question just on to leasing. The new leasing has come back pretty nicely in the latter part of 2020. What is the pipeline looking like right now for leasing activities in discussions both on a new and renewal basis? And how would that compare to pre-pandemic levels?
Edward Sonshine: Jonathan?
Jonathan Gitlin: Yeah. Sure. So the pipeline's actually looking remarkably good relative to what I think the expectations are out there or the perceptions. I think Jeff and his team have done a remarkable job of pivoting to look at tenants that are a little bit more unconventional than what we're used to. And because of that we have actually - particularly in our well-located major market centers, decent demand for space, and we're seeing empty boxes that have arisen as a result of apparel tenants leaving backfill pretty quickly. And one example of that is we have a Welcome Centre in Calgary in over 20,000 square feet of space that took an old furniture store at a higher rent, which is effectively a government tenant that allows for new residents in Calgary to come and visit this place to get - I guess, just get a sense of what's available in Calgary to them. And it actually creates a great cross shopping opportunity. And it's a good co-tenant. And that's one example of many. There are healthcare uses that we're now starting to see more of and then the categories that are growing are the ones that you'd expect in this pandemic and we continue to see that kind of growth and we think it'll happen after. Those are a lot of the value-oriented retailers, which include grocery stores, of course, but also the likes of Dollarama and TJX banners. And we're seeing growth from all these different places. There's not enough talk about those elements of the commercial landscape here. A lot of people are focusing on those that are shrinking their footprints like apparel, which is understandable because people tend to focus on some of the negative aspects, but we are actually seeing some pretty good movement and pretty good demand out of some other categories.
Sam Damiani: And finally, would you have a like a specific outlook for in-place occupancy in Q1 or maybe even as far ahead as Q2, based on what you're seeing today?
Edward Sonshine: You know what, today is so unpredictable. I mean, you tell me Sam, when the lockdown will finish and when we can actually start showing tenants space live. I mean, I think our leasing guys have been remarkable in doing the amount of leasing and so on where property tours are just not done and travel to go - take a tenant to a property isn't done. So I think when things go a little bit back to normal, it'll be - we'll be able to give you a solid answer to that. My feeling and I'll welcome Jonathan's comments, it's bottomed out. And over the course of 2021 it's going to get better as far as in-place is concerned.
Jonathan Gitlin: Yeah, I would agree with that entirely Ed. I think that we did reach a trough in late 2020. And now from based on the momentum we're seeing; it will start to increase over each quarter this year.
Edward Sonshine: Yeah, people do see an end to this Sam. I mean it's an end that's sort of moving around with the rollout of the vaccine being to be complimentary week. And but they know that sometime this year, you will get people out there and whatever passes for normal in the second half of 2021, we'll get there. So QSR restaurants are signing up new deals for openings. And there's lots of deals that are being done and will continue to be done where tenants look to, well, okay, if I can open at the end of '21 or the beginning of '22. That's good. And there is starting to be that confidence out there.
Sam Damiani: Thanks. I'll turn it back. But Ed, congrats again and looking forward to hopefully seeing you on BNN from time to time.
Edward Sonshine: Well, you'll see me out in about 40 minutes.
Operator: Your next question comes from Tal Woolley from National Bank Financial. Your line is open.
Tal Woolley: Hi, good morning, everybody.
Edward Sonshine: Good morning Tal.
Jonathan Gitlin: Hey, Tal.
Tal Woolley: Just on the tenant side, I'm wondering when you look at sort of the vulnerable slides of your tenant roll, you guys have made it this far. Do those tenants still - when you're talking to them feel committed to continuing and how are they feeling about operating in a post-CECRA or post CERS world?
Edward Sonshine: Yeah, and let me take the first shot at that and Jonathan can add as he wishes. Included in that 22% of what we call potentially vulnerable as opposed to vulnerable are some pretty big names and at the risk of insulting any of them, that includes Cineplex, that includes all our gyms, GoodLife, LA Fitness, includes big chain bookstores. And in talking to those tenants, which we constantly do, yeah, they're very committed to the post-pandemic future. Does that not mean, as Jonathan mentioned, there may be less fears a year or two from now than there are today. There probably will be we're expecting that. And in fact, in some cases, where we have redevelopment plans, we're encouraging that. But certainly gyms, I have no doubt that once they're allowed to operate in even a relatively normal way, they will be back in business and just the way it was before, essentially. GoodLife, I know is so committed to their survival. If I'm not mistaken, they announced they had taken a large government LEAF program loan I think, in the neighborhood, if my recollection is correct around in excess of $300 million. So that's how committed they are to getting through this thing. Because if you remember the details of that that's quite an intrusive program.
Jonathan Gitlin: Yeah. And so I'll just add a little bit to that good answer, which is that we do speak to our tenants that we consider potentially vulnerable all the time. And this ranges from the larger ones like Ed said, which are some of the gyms and bookstores and movie theatres, but also some of the midsize and smaller ones. And the response that we have received is exactly that. Hey, we've made it this far. We want to enjoy the other side of this. And I think there's a general sense and I think they've gleaned this from also what's happening in the US that there is going to be commercial exuberance in Canada once there is an ability to open up in a safe manner. And the same way we are optimistic about the end of 2021 they too are optimistic and really don't want to miss out on this because they've weathered the storm so much. And granted, a lot of those storms were, were floated through on the backs of generosity of landlords and the government programs that are out there. However, it's a reason a lot of these tenants feel that there is a lot of upside, coming at the end of 2021 or hopefully in the middle of 2021. And that is certainly the feedback we've received from a number of them.
Tal Woolley: And if you look at like some of your smaller tenants, a lot of them have gotten sort of pushed into offering some sort of online ecommerce, click and collect kind of service that maybe they probably weren't offering before. I guess their tone changed about how they're thinking about the business, their own businesses too?
Edward Sonshine: I think they all know that they have to have more online capabilities. Usually myself as an example, I can tell you, at the beginning of the pandemic last spring, I ordered some books from Indigo that the time they were using the Canada Post effectively for the delivery, it took almost, I think, about 10 days to get here. And I ordered some books about - well, at the beginning of this week and they took two days to get here. So clearly in their logistics Indigo has adapted and because 10 day on delivery time is unacceptable to anybody, but does that mean they're giving up stores? No, the people who love books, love browsing in a bookstore, I'm one of them. And while order online when I have to, I far prefer to go to the store. And I think you'll see a lot of the particular smaller retailers continue to build their online presence. But I think the model is the Target stores down in the United States, even though I hate using their name because of what they did to Canada, where they make the store the center of their online business. And I think you'll find a lot of these smaller tenants will be in exactly the same position. The ones that are going to succeed, they must have an online presence. But they also have to have that bricks and mortar store that take up in our curbside collect program that we started really pretty early in the pandemic, I think is increasing by the week. Anyway, Jonathan, anything you want to add?
Jonathan Gitlin: Yeah, I think that I mean, there's a reason Shopify is doing so well, a lot of the tenants big or small are figuring out how to establish online presence. But as Ed said, I mean, what we're trying to do is help our tenants change or adapt because this - buy online, pick up in store or click and collect model is taking on a lot of prominence. And it's really much more efficient for these retailers to do it that way rather than delivering to one's front door and delivering to one's front door is also not ideal for a consumer either. And this is the feedback we're getting from a host of our tenants, who really do believe in the economic virtues of having these, what are really just fulfillment centers that have penetrated deep into neighborhoods. And so we do believe that there's absolutely a need for these tenants to pick up their game when it comes to online. But they also recognize the need to make their stores more valuable and useful in furtherance of getting consumer goods to consumers' homes.
Tal Woolley: Okay. On the balance sheet side, the debt to EBITDA ratio, it's obviously above your longer-term target of eight times you've got a fairly hefty development spending commitment this year. How should we expect to see that ratio kind of evolve over the course of '21 and '22? Obviously, it'll be better by the - the further we go, but I'm just wondering in the near-term quarters, like, should we be anticipating that ratio to probably rise through the first half of the year and then maybe start to come down after that?
Edward Sonshine: I think you may see a gentle rise of it. And it will be gentle in the first quarter or two. I think it's going to depend and again, we're always juggling a few balls, as I say, on how quickly we're able to move on some of our disposition plans as we responded to Mark right at the beginning of the question time and - but we're going to have one eye on that. I don't think you'll see it move much in the first six months, but I definitely think that after we get past midyear, you'll start to see the ratio improve.
Tal Woolley: Okay, and then just lastly, on the Hudson's Bay JV, in 2000 - I can't remember if it's 2014 or '15, when this deal got struck. I remember that you guys had a capital commitment that they could - that the JV could call over time if you put some more money into that. Have you committed the full amount now?
Edward Sonshine: Yeah, it's a 100% invested. There's no further call.
Tal Woolley: Okay. And when do you anticipate the process of starting to rethink some of those urban flagships will begin?
Edward Sonshine: Well, I think it has begun in some ways. I know Hudson's Bay, which is taking the lead of it, has been exploring the market, for example, specifically with Vancouver and Montreal. They got to figure out, which I know they are in the process of doing and what they want their own footprint to look like in those properties on a go forward basis, but the - and they want the pandemic to be finished. So yeah, I mean, quite frankly, I don't think you'll see anything happen until 2022 or even a little later. But I know there are constant discussions. I mean the property in Vancouver, which is an incredible property, whether you look at it for - I mean, it's a patch to the Pacific Mall from a retail perspective underground and it's in the heart of the city. And so whether you look at it from an office perspective or residential perspective or a retail perspective, it's got incredible value. And you can say the exact same about the one in Montreal. Calgary may take a little longer just because it's in Calgary. Ottawa, I think may move forward fairly quickly too. So but we're sort of in the hands of HBC. Keep in mind, we get paid a pretty good rent and they're totally current on that I might add on the joint venture rents while we're waiting.
Tal Woolley: That pretty good rent, would you - do you feel that that's like at market level given how the environment changed?
Edward Sonshine: Yeah, given how the environment changes probably above market, but keeping in mind that Hudson's Bay is paying 80% of that rent to itself, it's really not a problem. Like I say, it gets paid. And we're confident that we'll get paid and it gives us I think, Jonathan, pretty close to a 6% or about a 6% return right now on invested capital. While we're waiting for some transactions to happen, which I have no doubt they will. Mr. Baker is a very clever, creative, man.
Tal Woolley: Okay, that's great. Thanks very much. Congratulations Ed.
Edward Sonshine: Thank you.
Jonathan Gitlin: Bye Tal.
Edward Sonshine: Any further questions Melissa?
Operator: Yes, your next question comes from the line of Pammi Bir from RBC Capital Markets. Your line is open.
Jonathan Gitlin: Hey, Pammi.
Pammi Bir: Hi, everyone, Ed, Jonathan, Qi. Just I'll try to be quick because I know we're going to hit the 60 minutes. So last year was obviously more pronounced in terms of bankruptcies and closures, but maybe just based on your discussions, and I guess an extension to some of the comments you made on the call. What are your thoughts on how this year may shape up?
Edward Sonshine: Jonathan?
Jonathan Gitlin: Yeah. So last year, we had I mean, about point 9% or under 1% of our income was affected by bankruptcy, stores that actually closed because of bankruptcy. So remember a lot of these are CCAA. Restructurings were in fact; the leases are restructured and they subsist beyond the CCAA filing. And truthfully, usually in the normal course, we see a lot of fallout in January. And quite honestly, we didn't see really any this January. And hopefully, that's a sign of the fact that there's generally a little more health out there than perception would dictate. But we're not hearing any rumblings of additional filings. I mean, if you think about it, most of the weaker apparel tenants already did this, right. And then some of the other tenants that are in a perilous situation, again, they are getting helped substantially by the government to bridge them through this. And I think their uses are actually quite relevant in a post-COVID society. So I don't see a huge number of bankruptcies coming. But again, it's always unpredictable. You never know how tenants are looking at the world. So I mean, it's a bit of a vague answer because it's a bit of a vague concept, but that's the sense we're getting and as I said, usually it's January where these things happen.
Pammi Bir: And I know it's good color, thank you. And just maybe lastly, coming back to the theatre exposure, you mentioned you're anticipating or planning for I guess, less exposure over time. But how much of your exposure do you think may actually decline over the next call it 12 to 24 months?
Jonathan Gitlin: Well, declines, I mean, it has declined recently through dispositions and we fully expect that over time just through normal course redevelopments dispositions et cetera, it will decline a little more. And we're certainly - it's going to also be - we're not doing any more - I mean, I can't imagine there'll be any more growth in that part of our portfolio. So I do think over time, it will continue to decline, but it's going to be incremental.
Pammi Bir: Okay, that it for me. Thanks very much and Ed congratulations again on retirement.
Edward Sonshine: Thank you.
Jonathan Gitlin: Thanks Pammi.
Operator: Your last question comes from line of Dean Wilkinson from CIBC. Your line is open.
Dean Wilkinson: Thank you. Good morning, everybody.
Edward Sonshine: Good morning.
Dean Wilkinson: Ed, I timed this to be your very last question.
Edward Sonshine: Okay. Thank you.
Dean Wilkinson: Yeah, if Tom Brady doesn't have to retire, I don't think you do. But that's an entirely different -
Edward Sonshine: Yeah, I'm a couple years older than him. But just as good looking, I think.
Dean Wilkinson: Yeah, exactly. As you tap on the 27 years, and thank you for the education. What do you think the biggest change in the business has been? And what does that mean for the next 27 years for Jonathan? And kind of what can we take from what you've seen in how the industry has kind of evolved over that time?
Edward Sonshine: Well, I think the biggest evolution over the years has been the concentration on the major markets. I think we were first to figure that out. And but everybody else has figured that out. And the second - whereas it used to be back in the first, I'll call it five, six, seven years of this industry, well $1 of Loblaw's income in Sault Ste. Marie. It was probably worth $1 - I think it was the same kind of income as $1 of Loblaws income in Toronto. Over time, everybody started to figure out that that wasn't really the case because you were able to get better growth from here and Sillery tenants. Loblaws was doing more sales per square foot in the major markets, and all of that related back to population growth. So you saw a movement over the years to the major markets. I think, starting about seven, eight years ago, certainly in our case, maybe even longer, everybody also started to realize that the biggest asset in these major markets that the REITs had was these large land holdings at critical locations. By definition, you built a shopping center at the intersection of two major streets, so people can get in and out easily. And guess what, that's where the cities are growing because transit lines are being put on in those major streets. And everybody realized that to - as the internet grew in popularity, you really needed to create value from the assets you held means everybody had to go into development. When we first started doing development in ways probably close to the beginning of this century, we were the only guys doing it. And now I think everybody's doing that right from us to Crombie. Maybe not CT REIT, but those captive REITs are a little bit different. But I think those are the biggest changes that growth is important. 20 years ago it was, hey, you actually sent me a check this month. Thank you very much.
Dean Wilkinson: Well, that's great. That's - and I can say, I think we're all looking forward to the post-COVID retirement party.
Edward Sonshine: Okay.
Dean Wilkinson: Thanks for everything and stay well.
Edward Sonshine: Okay, Dean. Thank you. Melissa, I think that marks the end of this conference call. I'd like to thank everybody who's still on that called in. And I won't say I look forward to speaking to you next quarter because you'll get to hear from younger and smarter people than me exclusively. Anyway, thank you, guys. Thank you, Jonathan and thank you, Qi. Thank you, Jennifer. And you know what, I guess that's it. And I'm sure Qi will be talking to many of you one on one later in the day. And for those who have any interest, I'll be on CNN in about 23 minutes - BNN. Yeah, CNN they only got time for the Senate. Okay, everyone, goodbye.
Jonathan Gitlin: Bye.
Qi Tang: Bye.
Operator: Ladies and gentleman, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.